Operator: Good day ladies and gentlemen, and welcome to Celanese Corporation's earnings conference call. My name is Sue, and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would like now to turn the presentation over to your host for today, Mr. Mark Oberle, Vice President of Investor Relations and Public Affairs. Please proceed.
Mark Oberle - Vice President of Investor Relations and Public Affairs: Thank you, and welcome to the Celanese Corporation's second quarter 2008 financial results conference call. My name is Mark Oberle, Vice President of Investor Relations and Public Affairs. On the call today are David Weidman, Chairman and Chief Executive Officer, and Steven Sterin, Senior Vice President and Chief Financial Officer. As mentioned previously, this call will be recorded, so for those that were unable to hear all of the comments due to some of the other activity today, you will be able to hear the replay. The Celanese Corporation press release was distributed via Business Wire yesterday afternoon and is posted on our website, Celanese.com. During this call management may make forward-looking statements concerning, for example, Celanese Corporation's future objectives and results which will be made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors is contained in the earnings release and in Celanese Corporation's filings with the Securities and Exchange Commission. Celanese Corporation undertakes no obligation to update publicly or revise any forward-looking statements. Celanese Corporation's second-quarter 2008 earnings release references the performance measures operating EBITDA, affiliate EBITDA, adjusted earnings per share, net debt and adjusted free cash flow as non-U.S. GAAP measures. For the most directly comparable financial measures presented in accordance with U.S. GAAP in our financial statements and for a reconciliation of our non-U.S. GAAP measures to U.S. GAAP figures, please see the accompanying schedules to our earnings release which will also be posted on our website, Celanese.com. This morning Dave Weidman will review the performance of the Company and Steven Sterin will provide an overview of the business results for each segment and the financials. We will have a question-and-answer period following the prepared remarks. Now, I would like to turn the call over to Dave Weidman. Dave?
David N. Weidman - Chairman and Chief Executive Officer: Mark, thanks very much and welcome everyone to today's call. I am delighted to share highlights of our strong second quarter results, and provide you with an updated outlook on progress we are making to grow the earnings power of Celanese. Despite weak economic conditions and significant increases in raw material and energy prices, Celanese delivered strong results in the second quarter and we are reaffirming our outlook for the full year. Net sales were approximately $1.9 billion, a 20% increase from last year's results. Adjusted EPS was $1.20 per share versus $0.85 per share in the second quarter of last year. Operating EBITDA was $406 million compared to last year's $328 million. The impact of escalating raw material cost and challenging market conditions on Celanese performance is dampened by our portfolio of outstanding businesses, geographic and end market diversity, leading technologies, advantage feedstock positions and global integrated business models. These factors substantially mitigate earnings turbulence while we focus on growing value. Steven will provide you with further details about our second quarter performance. I would like to share with you our outlook for the remainder of 2008 and beyond, and why we remain confident in our ability to deliver on our earnings growth objectives. For the last several quarters we've discussed with our investors Celanese growth strategy and our 2010 objective to increase the earnings power of portfolio by approximately $350 million to $400 million versus 2006 levels. And we are delighted to report that we remain on track to deliver on these objectives. Our Advanced Engineered Materials businesses are creating a platform for increasing future growth momentum by working with our customers to develop new applications. We have seen a tremendous acceleration in AEM's collaborative development activities with our customers to develop solutions for their biggest challenges, including an increased focus on environmentally friendly products and new application opportunities created by the high energy environment that we are in today. Additionally, AEM is rapidly growing in Asia. In Nanjing, our new Celstran, long-fiber reinforced thermoplastic production unit and our new GUR unit successfully began commercial production this year. These facilities give Ticona the ability to directly service customers in this growth region and to extend its global manufacturing capability. Our Consumer and Industrial Specialties businesses are delivering on their earnings growth commitments as they continue to realize the benefits of their ongoing revitalization efforts. Plant rationalizations are on track and new product innovation such as significant breakthroughs and environmentally friendly applications have been implemented. These businesses are demonstrating a high level of sustained earnings performance. Acetyl Intermediates is executing on its global expansion efforts. Commercial production of vinyl acetate monomer and acetic anhydride in Nanjing has begun. Production from these facilities will play a significant part in Acetyl Intermediates' growth in 2009 and 2010. Long-term, the potential expansion of the acetic acid unit in Nanjing provides even more opportunity to capture growth and drive productivity. This unique opportunity combined with our advantage feedstock positions in certain key raw materials and leading protected technology platforms creates a truly differentiated intermediates franchise. Our businesses have made significant progress in executing their growth strategies, and with a proven track record of delivering on our growth objectives, coupled with our success in generating cash, we remain confident in our ability to increase the earnings power of our portfolio in line with our target. Now, as I said earlier, our 2008 outlook for adjusted earnings remains between $3.60 and $3.85 per share, a significant growth over last year's results. Our first half financial performance has been very good. Reasonable market fundamentals have helped fuel growth and support increased pricing levels in many of our products. However, as we look forward to the second half of the year, there is more uncertainty in the global economies and an opaque view of how the chemical industry, and more importantly our customers will manage the rapid escalation in energy and raw material costs. Now, as you know, Celanese is a company whose growth is driven more by global GDP than the economic performance in any one region or any one sector. We've seen the impact of the US financial crisis reflected and softened demand in US housing, automotive and construction markets, and we are not optimistic about a rapid recovery. Additionally, parts of Europe are experiencing economic slowdown. We believe Celanese is well-positioned to dampen the impact of rising feedstock cost and a weakening global economy. Our balanced portfolio of integrated businesses has demonstrated the ability to weather very well these types of conditions. While we are cautious, given the increased uncertainty in our outlook about the global economy and raw material and energy cost impact for the second half of the year, we reaffirm our full year 2008 guidance for adjusted EPS of between $3.60 and $3.85 per share, and operating EBITDA between $1.350 billion and $1.415 billion. Celanese is a company that is in the process of executing a terrific plan to grow earnings and increased value for our shareholders. Today's environment may be challenging, but it also creates opportunity for Celanese to build for the future. With that, let me turn it over to Steve.
Steven Sterin - Senior Vice President and Chief Financial Officer: Thanks Dave. Let's start on page 7 of the PowerPoint presentation that's posted on our website. Net sales were approximately $1.9 billion, up 20% from last year as higher pricing and overall continued strong demand, our expansions in Asia and favorable currency impacts drove the record performance. Operating profit more than doubled to $207 million in the quarter. Keep in mind that last year's results included approximately $105 million of expenses, primarily associated with a long-term management compensation plan and also reflected the impact of the unplanned outage at our Clear Lake, Texas facility, which we estimated had an impact of $0.05 to $0.10 per share on Q2 2007 results. Net earnings were $134 million compared to a loss of $117 million in the second quarter of last year. You may recall that we completed a debt refinancing transaction in April of 2007, so those results included approximately $256 million of expenses associated with that transaction. Adjusted EPS for the quarter which is more comparable, as it excludes these onetime costs, was a record $1.20 a share, up 41% from last year's results. Strong volume in pricing as well as higher dividends received from our strategic affiliates contributed to the improved results. Operating EBITDA increased 24% to a record $406 million on strong operating performance and higher dividends from our cost affiliates. As a result of our significant cash generation, in February our board authorized a share repurchase program. During the first half of the year we have purchased just under 3 million shares, and have approximately $274 million remaining under this authorization. Let's now turn to the results of our businesses, beginning with Advanced Engineered Materials on page 8. Net sales were $300 million, 17% increase from last year's results, driven by higher volumes and positive currency translation. The 8% volume growth was driven by our expansion in China and strength in non-automotive applications. These were great results considering a challenging U.S. automotive sector which saw a 10% reduction in automotive bills in the period. Ticona was able to offset the impact of the decreased auto bills through successful penetration and increased pounds per auto. In fact, we believed that Ticona was able to grow faster than the overall engineered polymers industry in the first half of the year. Higher raw material and energy cost created some margin pressure for the business and offset the positive contributions of volume growth. Operating EBITDA was $68 million. $2 million lower than last year, primarily due to lower earnings from our equity affiliates. On page 9, Consumer Specialties continued to deliver stable earnings, and realized the benefits from its expanded acetate ventures in China. Net sales for Consumer Specialties were $292 million, a 4% increase over last year, driven by higher pricing and continued strong global demand, as well as favorable impacts from currency. However, the higher pricing of synergies from the acquisition of APL were offset by excluding raw material and energy costs. Operating EBITDA was $107 million, a 3% improvement year-over-year as we received $12 million of higher dividends from our recently expanded acetate ventures in China. Keep in mind that we typically receive our dividends from these ventures only once a year in the second quarter. Turning to page 10. Net sales for Industrial Specialties were $386 million, up 9% from last year. The increase was primarily driven by favorable pricing and currency translations. Weakness in North American and Southern European housing and construction applications, while offset by continued strength in Asia result in a lower overall volumes. Operating EBITDA was $37 million, compared to $34 million last year as the increase in sales more than offset higher raw material cost. On page 11, Acetyl Intermediates net sales were just over $1 billion, up 29% from last year. These record results were driven by higher pricing for acetyl products on continued strong global demand, volume growth from our acetic acid unit in Nanjing, China, and favorable currency translations. Operating EBITDA was $227 million, up 53% as the higher pricing and increased volumes more than offset higher raw material and energy cost. Dividends from our Ibn Sina cost investment increased by approximately $14 million on the strength of methanol and MTBE margins. Let's now turn to our equity and cost affiliates performance on page 12. The income statement impact is shown on the left side of the chart. Our affiliates delivered $92 million in earnings in the quarter, a 28% increase year-over-year. Higher dividends from our Ibn Sina and acetate cost investments more than offset the lower earnings performance from our AEM affiliates, which have seen the same margin pressures as Ticona. On the right side of the chart, you will see the cash flows from both our equity and cost affiliates. Total dividends received were $87 million, compared to $59 million a year ago, also driven by the higher dividends from our cost investments. Turning now to slide 13. Our strong cash generation continues to differentiate us among our peers. Year-to-date, our net operating cash flows from continuing operations were $161 million higher than last year. Strong operating performance, higher dividends from our cost affiliates and lower cash taxes drove the improvement. Year-to-date adjusted free cash flow is $200 million, an $84 million increase from last year. We remain on track to deliver adjusted free cash flow of approximately $550 million in 2008. Keep in mind, the adjusted free cash flow excludes all cash impacts related to the relocation of the Kelsterbach facility. During the second quarter, we received a progress payment from Frawfort [ph] totaling $311 million. And today, we spent approximately 62 million, primarily on capital initiatives associated with the relocation. Slide 14 summarizes our business outlook in 2008 guidance. As Dave mentioned, we are reaffirming our outlook for 2008 adjusted EPS of between $3.60 and $3.85 per share and operating EBITDA between $1.355 billion and $1.415 billion. This guidance continues to be based on adjusted tax rate of 26% and 166 million shares outstanding to reflect shares repurchased to date. I won't go through all the details on the slide, but I think the key takeaways are, one, a challenging environment globally for raw material and energy cost and two, continued softness in European and North American demand. These conditions drive a cautious outlook related to the economy for the second half, but shouldn't hinder our ability to deliver significant earnings for us in 2008. As we look at our businesses in this environment, we would expect earnings to be pressured for our specialty businesses. Our intermediates business continues to deliver strong results with its geographic footprint and managed technology and feed stock positions and attractive industry fundamentals. With that I'll now turn the call back over to Mark to open the Q&A.
Mark Oberle - Vice President of Investor Relations and Public Affairs: Thank you, Steven. Susan, if I could ask you to give some instructions for the Q&A, and we will begin in a second. QUESTION-AND-ANSWER
Operator: [Operator Instructions].
Mark Oberle, Vice President of Investor Relations and Public Affairs: I would like to remind everyone if we could keep your first set of questions to one question and one follow-up, time allowing we'll have, we will be able to go back and get you back in queue for some more questions.
Operator: And your first question comes from the line of Edlain Rodriguez from Goldman Sachs. Please proceed.
Edlain Rodriguez - Goldman Sachs: Thank you very much. David, quick question for you. We understand that current headwinds facing the company and the industry, that's slow in demand and higher cost. Given that, do you believe that Celanese is still positioned to grow earnings to level you mentioned in the past, namely 15% a year that should get above $5 by 2010.
David N. Weidman - Chairman and Chief Executive Officer: Edlain, as we look out, we are very, very confident with the growth that we have. The $300 million to $350 million of earnings growth, remaining is about $200 million little bit more than that in 2009, 2010, we are on track for that, in executing. Strong cash generation in the company was a very important part of that $5, concept and that remained very, very strong. And the only other question out there is, what portent the economic environment in 2010. To view the world in 2010 is likely to be very similar to what we had in the first half of the year, we are confident.
Edlain Rodriguez - Goldman Sachs: Okay, good. Follow-up, can you please remind us what the timeline for the $400 million in share repurchase is, and also would you accelerate that pace given the market reaction that we see today in the stock?
Steven Sterin - Senior Vice President and Chief Financial Officer: Yeah. Sure, Edlain. It's Steven. Yeah, so far through the year we've acquired just under 3 million shares, cash generation remains strong, we continue to be out in the market, we are taking a measured opportunistic approach, that share repurchase, we don't have a fixed timetable on it. But we continue to be out actively repurchasing shares.
David N. Weidman - Chairman and Chief Executive Officer: Okay, Edlain. I'll just add to that, our objective is optimizing number of shares we purchased, not just to spend cash.
Edlain Rodriguez - Goldman Sachs: Okay, good. Thank you.
Operator: And your next question comes from the line of Kevin McCarthy from Banc of America Securities. Please proceed.
Kevin McCarthy - Banc of America Securities: Yes, good morning.
David N. Weidman - Chairman and Chief Executive Officer: Hi Kevin.
Kevin McCarthy - Banc of America Securities: If I heard you correctly you successful started up your VAM and acetic and hydride units in Nanjing. Can you comment a little bit on the operating rates there and the incremental sales contributions, if any, that you would expect in the back half? In other words, you have to throttle back elsewhere as you bring up the new units.
David N. Weidman - Chairman and Chief Executive Officer: Yeah. Kevin the units are up and operating on a commercial basis. We have product sales going out of it. Those things go into our global integrated network. We now have eight VAM units across the globe, and we match our global production to the global demand. So we make sure that the production gets weathered into the markets in appropriate point of time. And we optimize the earnings based on the cost and profit associated with different facilities.
Kevin McCarthy - Banc of America Securities: Okay. So with these units up, coming back to the question of your guidance, and the overage in the second quarter are there any company-specific factors, Dave, that are causing you to adopt a more conservative posture for the back half of the year, or are you looking exclusively at macroeconomic issues such as industrial production in Germany, in the U.S and elsewhere in cost inflation?
David N. Weidman - Chairman and Chief Executive Officer: Yes, it's firstly the macroeconomic environment, it's uncertainty associated with that. You had a couple of things that we look at, energy and raw materials. We feel confident in our ability to maintain margins, but the question is, what's the impact on consumers? Remember, a year ago this week, oil was at $71… $71 a barrel, and wherever we are today is down modestly from the high, but it's still almost the doubling from where it was a year ago. The U.S. downturn seems to be prolonged and spreading beyond just housing and construction in terms of areas. You mentioned IPI in Europe and in Germany, we worked with that. Out in the world though, Eastern Europe continues to be strong, India is very robust. The Asian markets generally are holding very, very well, but it is in our mind an environment where the macroeconomics are more uncertain than they were 90 days ago. However, in spite of that, we are holding our guidance and delivering on value creation for the company.
Kevin McCarthy - Banc of America Securities: Okay. Thank you very much.
Operator: And your next question comes from the line of Hassan Ahmed from HSBC. Please proceed.
Hassan Ahmed - HSBC: Good morning Dave. A question around China. There is some recent reports coming out of China that, due electricity supply curbs and transportation restrictions, I guess essentially stemming from the run up to do Olympics, operating ridge downstream are fairly low. So, are you guys beginning to see or do you expect to see dramatically lower asset view of demand particularly in China over the next quarter or two?
David N. Weidman - Chairman and Chief Executive Officer: You know, we've heard those reports. We've talked with some people who have seen them. It has not affected our business, nor do we anticipate it affecting our business. Rate continued to be strong, the demand continues to be strong, and China continues to be a very, very positive picture in the world.
Hassan Ahmed - HSBC: Superb. Thank you.
Mark Oberle - Vice President of Investor Relations and Public Affairs: Thanks Hassan.
David N. Weidman - Chairman and Chief Executive Officer: Thanks Hassan.
Operator: And your next question comes from the line of P.J. Juvekar from Citi. Please proceed.
P.J. Juvekar - Citi: Yes, good morning.
David N. Weidman - Chairman and Chief Executive Officer: Good morning P.J.
Steven Sterin - Senior Vice President and Chief Financial Officer: Hi P.J.
David N. Weidman - Chairman and Chief Executive Officer: P.J., we can't hear you. Operator, it seems like we have lost P.J..
Operator: Your next call comes from the line of David Begleiter from Deutsche Bank. Please proceed.
David Begleiter - Deutsche Bank: Thank you. Good morning.
David N. Weidman - Chairman and Chief Executive Officer: Hi Dave.
David Begleiter - Deutsche Bank: David, have you seen anything in June-July that would show a deceleration in demand or is your guidance just based on what you think may happen?
David N. Weidman - Chairman and Chief Executive Officer: Dave, when you are in an environment where you are raising prices, it's hard to determine underlying demand. I will use the example of Ticona. We had an 8% lying growth in Ticona in the second quarter. We had price increases in Ticona as well. As we look through that, it's hard to gage, but we think that there is some lumpiness associated with demand, that underlying demand may not have been as strong as reflected in the actual reported numbers. Things like that, Dave cause us to step back and assess things a little differently and look at the world a little differently. Automotive production is an example there. Coming out of principally the US, we see again and again that production levels continue to be ratcheted down and the model bills are transitioning from big units to small units. Actually, the smaller units, a number of the smaller units, we have more pounds per vehicle on those units than we do to bigger units, but there is a transition effect. Having said that, we see our market in China and pricing in China has been a little bit stronger in second half than we thought it would be, and pricing holding up a little bit better in the second half than 90 days ago we thought it was going to be. So with that Dave, I'd say that we are cautious on the economy, but reaffirm our guidance for the year.
David Begleiter - Deutsche Bank: Understood. And just on… can you guys update on the next three acetic acid expansions at Sipchem, BP in Nanjing and Sopo as well as your plans in Nanjing, perhaps to double that unit size?
David N. Weidman - Chairman and Chief Executive Officer: Good question. We monitor that, and again, we'll provide a comprehensive update here in December when we have our Investor Day. Overall though, we'd see slippages continuing with startups in the marketplace. I think in the second quarter there were 6 or 7 units that in our judgment has slipped, some of them some material slippage. So, each one specifically… you know that I'd rather not, Dave, comment on what is out there, basically what we know is what we read in the press, but there does seem to be ongoing slippage in the marketplace.
David Begleiter - Deutsche Bank: And Steven, guidance on second half dividend income?
Steven Sterin - Senior Vice President and Chief Financial Officer: Yeah, you know, we still expect to be within the guidance range we laid out, and think about total affiliate income between $200 million and $215 million, maybe more towards the upper end of that range for the year. That takes into account both the cash dividends and the equity earnings fees.
David Begleiter - Deutsche Bank: Thank you.
Operator: And your next question comes from the line of PJ Juvekar from Citi. Please proceed.
P.J. Juvekar - Citi: Yeah, Hi. Good Morning. Can you hear me?
David N. Weidman - Chairman and Chief Executive Officer: Yeah P.J., we can hear you now.
P.J. Juvekar - Citi: Well, thank you. I had a question on your table 7. You had these other adjustments that you added back to earnings. You know, $24 million that you added back, $9 million business optimization, what is that charge and why is it one-time that you called out, fire [ph] in the part of your ongoing business.
Steven Sterin - Senior Vice President and Chief Financial Officer: Yes, sure. We provide this table seven to give you some transparency into our major restructuring activities in the business. In our Investor Day in December, we laid our plans to shutdown five plants and to drive productivity in our back office and the administrative side. And these are costs associated with those benefits, we don't have the cost in our guidance, we exclude them or report actual results and provide them to use the conceivable, the cost and the benefits. When you look at that $9 million, those are mostly severance related costs and office shutdown costs. One example was the consolidation of all our financial activities from 20 locations down to one at Budapest, Hungary. So these typically are one-time large transactions that drive significant productivity to the company.
David N. Weidman - Chairman and Chief Executive Officer: P.J, let me address the point that Steve has made here at a little different level. Celanese is a company that continues to drive productivity through our businesses. If we spend money, we think it's the wise uses of investors' cash, to spend money on restructuring and activities. These things, two points these things by their very nature are lumpy and when they hit. Second, we want to provide total transparency to our investors unless being spent as well as the underlying business performance independent of that. That's why we split it out and that will allow you and other investors to factor those costs in whatever way you feel it's appropriate. But I would not categorize these as one-time. In fact, we don't in our writing say that they are one-time. They are on going. We have programs and initiatives on an ongoing basis to take costs out. It takes capital there, it take things investors cash to do it. And we will break it out and show you what we are spending and how we are spending it.
P.J. Juvekar - Citi: No, I agree. But if you consolidate financial IT systems into one location, I think shouldn't be really adding that back into your adjusted EPS. Adjusting all the companies everybody in chemical industry is doing that. You are not alone, and everybody is adding this back.
David N. Weidman - Chairman and Chief Executive Officer: Point taken, point made.
P.J. Juvekar - Citi: Okay. And the second question is on China, what was the impact from the benefit of coal gasification plant in China, and if coal gasification is being more profitable now then a year ago?
David N. Weidman - Chairman and Chief Executive Officer: Yeah. The benefit of coal gasification is, we haven't disclosed that due to some proprietary technology that we have inefficiencies and deals. But it's fairly substantial. P.J, the benefit of using coal is places our Nanjing facility as one of the most lowest cost facilities globally if not the lowest cost, certainly the lowest cost in Asia. And as we continue to look forward to expanding that facility, it's done on the basis, so that being a low-cost facility. We've in our mind, come through justification based on productivity that supports growth rather than supporting growth principally due to that cost position.
P.J. Juvekar - Citi: And so if you decide to expand, you have enough coal gasification capacitor to support that expansion?
David N. Weidman - Chairman and Chief Executive Officer: Yes. There was an announcement made nine months ago, Mark, that the coal gasification supplier had committed to make an investment to expand that.
P.J. Juvekar - Citi: Thank you.
Operator: And your next caller comes from line of Sergey Vasnetsov from Lehman Brothers. Please proceed.
Sergey Vasnetsov - Lehman Brothers: Hi good morning.
David N. Weidman - Chairman and Chief Executive Officer: Hi Sergey.
Steven Sterin - Senior Vice President and Chief Financial Officer: Hi Sergey.
Sergey Vasnetsov - Lehman Brothers: Maybe you can talk about their current prices in China in light of their energy prices where they are right now. What's your outlook for second part?
David N. Weidman - Chairman and Chief Executive Officer: Yeah, Sergey, their prices in China today are unusually high. I would say that in the second quarter of the year they were somewhat higher, modestly higher than I had anticipated, we had anticipated. And right now, we see them stable at that point. I think in our view going forward, it was unusually high in the first part of the year and we see it returning towards more normal levels going forward.
Steven Sterin - Senior Vice President and Chief Financial Officer: Sergey, in the second quarter, we had a couple of competitive planned and unplanned outages in the quarter. And so, our outlook will continue to be for a moderation of prices in China throughout the second half of this year.
Sergey Vasnetsov - Lehman Brothers: Now, can you share some numbers?
Steven Sterin - Senior Vice President and Chief Financial Officer: Reported numbers where the prices in the first half were in the 700 to750 range, and we probably talked about 650 to 700 being.
Sergey Vasnetsov - Lehman Brothers: Okay.
David N. Weidman - Chairman and Chief Executive Officer: A level that brings us back to the ethanol producers' economies.
Sergey Vasnetsov - Lehman Brothers: Okay. And, so, you have shown some negative volume numbers on couple of specialty product lines. Is it those kind of lumpy orders, or you see underlying weakness there?
David N. Weidman - Chairman and Chief Executive Officer: Now, here is what we see. Let me take consumer specialties first, that's our acetate business and our high-intensity food sweetener Nutrinova's business. And if you remember, a year ago we were producing flake in Canada for sale through our joint-venture in China. Those flake sales were treated as third-party sales. That production unit was shutdown and the production now is going on in Nanjing. So the economic benefit comes through dividends when you have a negative volume associated with that. Going in the second half of the year that negative number won't be there, it won't be as large. And then on the Industrial Specialties we have taken steps to rationalize manufacturing on a global basis. We are in the process of doing that, and as we have talked about for a couple of quarters here at least, we did see weaker demand in those businesses, but on a sequential basis we haven't seen any substantial change to demand from what we've had in the first half of the year.
Sergey Vasnetsov - Lehman Brothers: Okay. Thank you for your help.
David N. Weidman - Chairman and Chief Executive Officer: Yep. Thank you Sergey.
Operator: [Operator Instructions]. And your next question comes from the line of Gregory Goodnight from UBS. Please proceed.
Gregory Goodnight - UBS: Good morning all. You mentioned optimization of your global system. I would like to explore your acetic anhydride plant, 100,000 tons. Will this allow you to move forward, for instance, with your Pampa plans? And second question is, how much savings is associated with this optimization, I imagine that you will have less shipping cost?
David N. Weidman - Chairman and Chief Executive Officer: Yeah, very good. Good point. Basically, we are replacing the production capacity that's in Pampa for anhydride, with capacity in the growing region of the world which is Asia. You get a modest opportunity to capture growth. And there are some savings costs, but all of those savings are consistent with our $350 million to $400 million earnings growth plan.
Gregory Goodnight - UBS: In terms of sizing it, I assume that that's a significant portion of… I think you were targeting like a $100 million in that bucket?
Steven Sterin - Senior Vice President and Chief Financial Officer: Yes. For the Acetyl Intermediates business… right, 2009-2010 had roughly a $100 million, I think.
Mark Oberle - Vice President of Investor Relations and Public Affairs: Yeah, a $100 million plus. Greg, as you look at it, the three major components that we talked about were all related to the new units in Asia; the acetic acid unit, the VAM unit and the anhydride. And they all contributed to the increased earnings to power the portfolio for that business.
Gregory Goodnight - UBS: Okay. Any help on sizing what this incremental activity will provide?
Mark Oberle - Vice President of Investor Relations and Public Affairs: But as we looked at it, we said, on a rough basis in total it produces about $500 million of additional revenue, $500 million to $600 million of additional revenue, 20% EBITDA margins. In our Investor Day book we walked through which part is merchant, which part is captive. Clearly the anhydride unit plays a piece of it. But I think the biggest pieces you will see would be VAM when it gets sold out by 2010 in the acid unit. Play a more significant financial piece.
Gregory Goodnight - UBS: Okay, I appreciate that help. The next question I had was, in terms of Chinese capacity there are reports that Shanghai Fujing [ph] has restarted and idled a 250,000 metric ton plant. Is that… can you confirm that and is that what is causing the Chinese prices to ease off a bit?
David N. Weidman - Chairman and Chief Executive Officer: Yeah, Greg, good question. Let me characterize this way. In the first half of the year, as we talked about earlier there was some planned and unplanned outages in the market. Even though they were unplanned it's not unusual as you know in this business for facilities to go out. However, in that environment, pricing moved up somewhat higher than we might have expected. With those plants back on stream, with Fujing [ph] in the marketplace, we expect pricing to moderate and move back towards levels that we had anticipated earlier.
Gregory Goodnight - UBS: Okay. Thanks for that help. I'll get back in the queue.
David N. Weidman - Chairman and Chief Executive Officer: Okay, thank you.
Steven Sterin - Senior Vice President and Chief Financial Officer: Thank you, Greg.
Operator: And your final question comes from the line of William Matthews from Canyon Capital. Please proceed.
William Matthews - Canyon Capital: Good morning.
David N. Weidman - Chairman and Chief Executive Officer: Good morning, Bill.
Steven Sterin - Senior Vice President and Chief Financial Officer: Good morning, Bill.
William Matthews - Canyon Capital: I understand guidance… the guidance game can be confusing, and send mixed messages. But I just want to understand something. Leaving the guidance unchanged at roughly 372 midpoint, for the first half of the year, first two quarters were kind of 30% above where you were at the first two quarters below seven, so leaving the guidance unchanged would mathematically put you at a 12% decline versus the last two quarters of '07 or kind of 40 point swing from plus 30% to down 12%. So, is there something you are seeing in the environment that is suddenly drastically changing your outlook or is it just more of the current environment gives you caution therefore there is no need to raise the guidance at this point.
Steven Sterin - Senior Vice President and Chief Financial Officer: I'd say the latter, Bill, and let me put a little texture in that. There is three elements that when you look at the second half this year versus the second half last year, that you are really ought to consider. First is the fact that we had the Clear Lake outage last year. We indicated that for the full year that outage did not have a material impact on the performance of this company. However, there was a decline in profits in the first half and an upsurge or recovery of those profits in the second half as the unit came back on again. And we quantified it at that time as roughly, a nickel to a dime of swing from one… first half to the second half. So, you are against that head wind in your year-over-year constant second half. In addition to that, in our view this pricing environment that we have, we have upper swings in prices. It's common for customers to order up and hold inventory ahead of price increases. So Ticona's growth is an example. It was 8% as we show. Underneath that in our gut, but we can't point to specific customers, we believe that the number was somewhat muted, and your second quarter earnings this year was somewhat higher than they would have normally been as the detriment of what we might have seen in the third quarter and the second half of the year. Those are two elements. On top of that is an underlying uncertainty associated with the economy. It's opaque. There is uncertainty out there. So when you factor those things in, I think you get a view of how we are kind of thinking about things.
William Matthews - Canyon Capital: Okay. And you gave some what of an update kind of on the supply side, how about the demand side of the model in terms of Acetyl Intermediates, or are you seeing any kind of erosion in demand. You are seeing obviously we are seeing weakness in the US, we are hearing weakness in Europe, what about in Asia?
David N. Weidman - Chairman and Chief Executive Officer: Though, global growth in Asia holds up really, really well. In fact as we look at it, there's a lot of great things going on out there right now. Demand is holding up in Asia really, really well, our capacity utilization within the acetyl chain is holding up well. Our growth plans are falling right inline as we anticipated modestly better in some areas. And in addition to that, we reaffirmed guidance in this uncertain environment. First half, first, second quarters were record quarters and record halves for the company. So we remain confident in our ability for the earnings part of the company. We remain very, very solid in our -- believe that we have got an incredibly strong business model, we have strong advantage positions in our technology and our raw material position, I guess the one thing that is a little bit different in our view is more short-term, more cyclical and that adds questions around the global GDP and that's kind of where we stand.
William Matthews - Canyon Capital: Great, Thank you.
David N. Weidman - Chairman and Chief Executive Officer: Thanks Bill.
Steven Sterin - Senior Vice President and Chief Financial Officer: Thanks Bill.
Operator: And your next question comes from the line of Bimal Patel from TIAA-CREF. Please proceed.
Bimal Patel - TIAA-CREF: Hi. Actually, my questions have already been answered. Thank you.
David N. Weidman - Chairman and Chief Executive Officer: Thank you, Bimal.
Steven Sterin - Senior Vice President and Chief Financial Officer: Thanks Bimal.
Mark Oberle - Vice President of Investor Relations and Public Affairs: Susan, do we have any other questions in the line.
Operator: You have a follow-up question from Gregg Goodnight from UBS. Please proceed.
Gregory Goodnight - UBS: I will be short. Would you comment on the legacy settlement, the $107 million, I assume that was all cash, and I assume that's all there is and is going to be?
Steven Sterin - Senior Vice President and Chief Financial Officer: Yeah, Gregg, there is. Celanese is a company with a history in the past. There is a number of legacy items out there that have nothing to do with businesses that Celanese has today, but has everything to do with the corporate entity and history that we came from. And I just remind those not here was the story is that when we demarche from Hoechst. Back in 1999 there was a significant amount of Hoechst, broadly speaking Hoechst plays the items that were given to Celanese. We have been incredibly successful again one-by-one working those items off of our balance sheet and reducing substantially the exposure that our company has in any of those legacy items. There remains a few that we have out there that we are continuing to manage we have two things this quarter. We have legacy asset sitting in Germany and industrial part over there and we chose to monetize that, move out of that asset, we had this legacy litigation associated with the fiber business that was back in '97 or '98, I don't recall exactly when it was, and there was a settlement associated with that that seemed prudent. There is other litigations going on out there. There is other legacy sites that we have that we are considering the right disposition for them, whether they are strategic support to us. So, I won't be surprised, Greg, if you saw other items come in over the course of the next several years. And we will continue to manage it as we can, but the substantial part of the exposure and the risk is in the past.
Gregory Goodnight - UBS: Okay. Thank you for that help.
David N. Weidman - Chairman and Chief Executive Officer: Thanks Greg.
Operator: At this time you have no more questions.
Mark Oberle - Vice President of Investor Relations and Public Affairs: Great. Once again we'd like to thank everyone for the patience. I understand it's been a busy morning. If you have any follow-up questions, feel free to give me or anyone on the IR team at Celanese a call. I look forward to talking to you again soon. Thanks.
Operator: Thank you for your patience in today's conference. This concludes the presentation. You may now disconnect. Good day.